Operator: Welcome to the First Quarter Investors' Conference Call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially differ from any future results, performance, or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's Annual Information Form as filed with the Canadian Securities Administrators and in the company's Annual Report on Form 40-F as filed with the US Securities and Exchange Commission. As a reminder, today's call is being recorded, and today is April 27, 2022. I would like to turn the call over to Chief Executive Officer, Mr. Scott Patterson. Please go ahead, sir.
Scott Patterson: Thank you, Chris. Good morning and welcome, everyone. Thank you for joining our Q1 conference call. I'm on the line today with Jeremy Rakusin and together, we will walk you through the results we released this morning, results that reflected very strong top line growth across both divisions. Total revenues for the quarter were up 17% over the prior year, with organic revenue growth at an impressive 10%. EBITDA was up 4%, reflecting a margin of 7.5% compared to 8.4% in the prior year and earnings per share were up 11%. We're very pleased with the way the quarter played out. We continue to be challenged by a tight labor market, supply chain issues, and inflationary pressures. Our strong top line for the quarter enabled us to overcome the operating challenges and deliver a solid bottom line that was modestly ahead of our expectations. I'll summarize our results for each division and then pass it over to Jeremy to provide more financial detail. At FirstService Residential, revenues were up 12%, with organic growth at a strong 7% and the balance from tuck-unders made during 2021. The organic growth primarily reflects net new contract wins. We experienced a modest boost from the reopening of amenity of facilities during the non-seasonal first quarter. This was largely offset by a decline in certain ancillary revenues versus a year ago, particularly transfer and disclosure income relating to resales within our managed communities. Net-net, at 7%, we're pleased with the organic growth for the quarter. Looking forward to Q2 and the balance of the year, we expect to show similar top line growth for FirstService Residential. Moving on to FirstService Brands, revenues for the quarter were up 22% with organic growth at 12% and the balance from acquisitions over the last year, including the six tuck-unders we reported towards the end of 2021, five in restoration and one in fire protection. Our restoration brands First Onsite and Paul Davis generated revenue that was up 15% over the prior year with 3% organic growth. Last year, we had a surge in claims from the Texas deep freeze which added over $35 million revenues to our Q1 numbers. Posting revenues above this level organically, without a similar event is impressive and a reflection on the progress we're making at both brands in terms of adding customers and increasing our day-to-day business. Our backlog remains solid and we are expecting a strong second quarter, but without weather it will be a challenge to match the revenues we achieved in Q2 of 2021. We booked approximately $50 million in Q2 last year from the Texas deep freeze. Our best estimate at this point is that we will be slightly down in Q2. Activity levels are generally strong for our restoration brands and, as I mentioned, we feel very good about our market penetration, which should translate into strong results for the balance of the year, but it is somewhat weather-dependent. Moving now to our Home Service brands, which, as a reminder, includes California Closets, CertaPro Painters, Floor Coverings International and Pillar To Post home inspection. As a group, Home Services were up over 25% organically for the quarter, flat sequentially. We enter 2022 with very strong backlogs in these brands and we continue to build on them through the first quarter. The combination of Omicron in January and supply chain issues throughout the quarter challenged to us and it is a credit to our teams that we were able to produce as much revenue as we did. Activity levels remained strong in our Home Service brands. Home prices are up 15% year-over-year, which should sustain strong home improvement spending. We continue to incrementally add capacity and although we are facing ongoing supply chain challenges, we expect to show sequential growth in Q2 and another quarter of 20% plus year-over-year growth. Moving on to Century Fire, we had another very strong quarter, driven by 20% plus revenue growth, which was half organic. The commercial construction market, including multifamily and distribution, remains very active and Century has a strong position in these verticals. In addition, the service repair and inspection division continues to build momentum. We expect a similar level of growth at Century in Q2 and for the balance of the year. Let me now call on Jeremy to review our results in detail and to provide a more fulsome-look forward.
Jeremy Rakusin: Thank you, Scott. Good morning to everyone. Let me first start by summarizing our Q1 results on a consolidated basis, which overall were better than expected, particularly in the face of operational challenges. For the quarter, we reported revenues of $835 million, a 17% increase over the $711 million for Q1 '21. Adjusted EBITDA was $62.3 million, up 4% versus the prior year's $59.8 million. And this yielded a 7.5% margin for the quarter compared to a margin of 8.4% in the prior year quarter. And finally, our adjusted EPS was $0.73, representing 11% growth over the $0.66 per share in Q1 '21. Our adjustments to operating earnings and GAAP EPS in arriving at adjusted EBITDA and adjusted EPS, respectively, are consistent with our approach in disclosures in prior periods. I'll now summarize the segment results for our two divisions. FirstService Residential generated revenues of $394 million, up 12% over last year's first quarter while EBITDA was $30.4 million, a 3% increase over the prior year. The EBITDA margin for the division came in at 7.7% and as expected, was down 70 basis points over the 8.4% margin last year. The margin was impacted by the same two factors we called out in the prior fourth quarter, wage inflation and the increased mix of labor-driven services relative to higher margin ancillaries. When comparing the division's margin to Q1 2020, the last pre-pandemic quarter encompassing more normalized labor market and revenue mix dynamics, our 7.7% margin this quarter was 70 basis points better. So, in summary, we are pleased with how our teams are managing through existing inflationary pressures. For the remainder of 2022, we are expecting to close the year-over-year margin gap within the FirstService Residential division with the margin improvement weighted towards the second half of the year. Shifting to our FirstService Brands division, we reported revenues of $440 million during the first quarter, up 22% over last year's first quarter. EBITDA came in at $36.1 million, an 8% increase over the prior year quarter. The division margin declined to 8.2% versus last year's 9.3% level. We had forecasted the margin decline, particularly given the current quarter headwind in restoration against the prior year Texas freeze surge work. We also faced operational disruptions during the quarter, both with our labor due to Omicron in January and with ongoing globally impacted supply chains. While these challenges resulted in higher costs and inefficiencies in completing jobs at several of our brands, we still delivered an overall division margin this quarter that well exceeded the pre-pandemic Q1 2020 margin of 7.5%. Our businesses have remain nimble and resilient covering off inflationary pressures either in relative lockstep or with a modest lag. We are thus confident we will show incremental improvement in our Brands division year-over-year margin performance in the coming quarters. Turning to our consolidated cash flow, we generated more than $50 million before working capital changes, a modest increase over last year's first quarter. With the seasonal trough Q1, we had working capital investments in those businesses that ramp up operations for their balance of year peak cash flow periods. Our operating cash flow will be stronger in all remaining quarters of 2022. Capital expenditures during the quarter were $16.5 million, up modestly year-over-year. We expect total CapEx for the year to come in at $85 million to $90 million lower than the $100 million target we provided at the outset of the year, with the normalized portion in the $65 million to $70 million range and tracking within our typical 20% of EBITDA level. We did not close any acquisitions during the quarter, but as you heard from Scott, the flurry of tuck-unders at the close of 2021 contributed to our strong revenue growth in the current quarter and we'll continue to add to our top line performance for the balance of the year. Acquisition activity can vary from period to period, and we made progress during the quarter in replenishing our deal pipeline to a healthy level that should convert in coming quarters. Our balance sheet also remains strong in every respect. We ended the first quarter with net debt of $515 million, resulting in leverage as measured by net debt to trailing 12 months EBITDA at a conservative 1.5 times and relatively in line with year-end. During the first quarter, we bolstered our debt capacity by increasing the size of our revolving bank credit facility to $1 billion, with an unsecured credit structure and more flexible terms. The current undrawn balance on this revolver, plus cash on hand, provides us with ample liquidity of approximately $550 million to drive further growth. Looking forward, our outlook for the full year remains intact and consistent with the indicators I provided with our 2021 year-end results in February. Strong contribution from all of our businesses will drive aggregate low teens year-over-year top line growth. With incremental improvement in our margin performance expected, particularly in the back half of the year, we expect to finish 2022 with our consolidated margins relatively in line with 2021, resulting in double-digit annual EBITDA growth. That concludes our prepared comments section. I would now ask the operator to open the call to questions. Thank you.
Operator: [Operator Instructions] Our first question comes from George Doumet of Scotiabank. Your line is open.
George Doumet: Scott, would you characterize the labor environment as generally better, same, or more challenging since the start of the year and maybe just your general outlook over the coming months? Are we seeing any green shoots there?
Scott Patterson: I would say it's approximately the same as the beginning of the year. I mentioned on our last call that we were having more success recruiting and I think that still holds in general, but I would say it's incremental. It's still a very tough labor environment. We have many open positions and we're still capacity-constrained at a number of our businesses. So it's a grind. I expect it to continue, but we're making headway and obviously still driving strong revenues.
George Doumet: Okay, great. And can you talk a little bit about where we are with re-signing those higher fixed price contracts, renewals at FSR, and has that to-date had any impacts on retentions or are we still kind of trending in the mid-90s?
Scott Patterson: It's a fluid situation, George. We have contractual relationships that lock in a fixed price and we've been working through price increases for many months now, educating our clients, being very transparent about our wage and cost increases. We're definitely having some success in passing through the increases, but it will be an ongoing process. As you heard from Jeremy, it will - we will continue through the balance of the year. And second part of your question, we're keeping our accounts. We are having very healthy discussions with our clients and our retention should be right in line with our expectation this year.
George Doumet: Okay, thanks. And just one last one for Jeremy. Can we talk to the reason why we dropped our CapEx by $10 million to $15 million for this year? And just to confirm, for 2023, CapEx should be in the $65 million to $70 million range, right?
Jeremy Rakusin: George, the reason for the drop is more in the one-off category. So a couple of the regional office moves at our FirstService Residential operations there, some of it will not get incurred this year and will roll a bit into next year. I mean, yes, $65 million to $70 million as a percentage of revenues, 2%, 20% of EBITDA, that's our normalized spend. That's what we would expect for 2023. We haven't done budgets. If there is a bit of this roll of the $10 million to $15 million that's coming off this year into next year, that would be incremental. So it's really timing on the one-off CapEx.
Operator: Thank you. Our next question comes from Stephen MacLeod of BMO Capital Markets. Your line is open.
Stephen MacLeod: I just wanted to ask a little bit about the home improvement business. So you cited exceptionally strong growth in that, in those service lines. Can you just talk a little bit about sort of why you're seeing - why you think you're seeing growth being so strong, whether there are pockets of growth within the lines and where those might be? And then how you expect that growth to kind of evolve as the year goes by? I think previously you had suggested that you would expect it to be strong at least through the first half of the year, but I'm just wondering if that expectation has changed at all.
Scott Patterson: Right. The reason that we're seeing a strength is really driven off of the home price increase year-over-year of 15%, which is a massive increase in home equity and home equity historically has been a big, big driver of home improvement spending. So that certainly gives us comfort that it will continue for the balance of the year. We're booked through Q2. I provided an outlook for Q2. There is less visibility for us obviously in the back half of the year, but at this point we're comfortable that the work will be there. Remember that we've been capacity-constrained at these brands for some time now, trying to catch up to the market opportunity and the leads and we're really still doing that continuing to add capacity, recruiting aggressively. So getting the work right now is not a problem for us based on our capacity.
Stephen MacLeod: Okay. Okay, that's helpful. And then maybe just on Century Fire. I missed the number that you gave, I apologize, in your prepared remarks around the growth. And I think you said it was split sort of 50-50 organic versus acquisition. I was just wondering if you could repeat that number.
Scott Patterson: Yes, it was 20% plus is what I said, half organic and it's a level that we see for the balance of the year, really.
Stephen MacLeod: Great. And then maybe just finally on the acquisitions, Jeremy, you suggested that you've done a good job of replenishing your pipeline. Should we think about the areas or targets of acquisitions sort of similar to what your recent activity has been sort of focused on the restoration business and complemented by some of the other segments?
Scott Patterson: Yes, exactly. I mean, it does include activity across both divisions, but it will likely be weighted towards restoration and fire again this year.
Operator: Thank you. Next we have Faiza Alwy of Deutsche Bank. Your line is open.
Faiza Alwy: So I first just wanted to ask about your confidence in getting back to flat margins as we get to the back half of the year. And I'm curious if you're depending on pricing certain weather events, just more color on that would be helpful.
Jeremy Rakusin: Sure, I'll take that. Thanks, Faiza. On the residential side, it is both pricing as Scott spoke to some of that on - on some of the earlier question as well as us taking a closer look at our cost structure, operational efficiencies. We talk about the service delivery model and offing some of the roll from our front-end property managers, but a lot of just cost around IT telephony, payroll head count, together with pricing. And again we see that picking up in terms of closing the gap in Q3 and Q4. On the Brands side, the ability for us to capture any cost increases through pricing is pretty good. Some of it's relatively immediate, some of it's on a quarter lag. So whatever the challenges that we're seeing in the current quarter around supply chain or wage inflation, we believe we will capture in Q3 and so forth. So there is a part of that. And then the weather aspect at First Onsite tends to be skewed towards the back end of the year, all of restoration in fact to Paul Davis as well. And so margin should be better for that business in a typical year in the back half. This upcoming Q2 we have the headwind versus the Texas freeze work of last year and we don't see the same level of activity in Q2 of this year. So another reason why margin improvement in brands will be more skewed to the back half of the year.
Faiza Alwy: Okay, that makes sense. And then just secondly, there is a lot of conversation around the potential recession in the US. And I'm curious if you could remind us like how much of your business would be - is more cyclical versus defensive. I know you just - you talked about home improvement and how home prices tend to impact home improvement spending, but I'm curious if you could share more color around how a session might impact, which parts of your business might get more impacted?
Scott Patterson: Sure. Let me start with that and then I'll pass it over to you. But it's - I appreciate the question, Faiza. But it is - feels a bit odd and ironic to be talking about a recession when we are out recruiting aggressively, trying to increase capacity to tackle the work and the opportunity we have in front of us right now. But I do understand the question and the concern. We've proven over the years and during past downturns to have a very resilient business model. And keep in mind that our two largest businesses are largely immune from economic cycles. Restoration is influenced by weather. FirstService Residential is a contractual business and our communities need to be managed. So they are - neither of them are discretionary spends. Century Fire has some exposure through new construction. And the Home Service brands has some exposure, I think, particularly California Closets. But I think the thing to remember in Home Services and all our brands really is that we have very modest market shares. And these are huge markets. And in a downturn, these markets will still be huge. And it's on us to go out and get the work. But, Jeremy, maybe you can provide a little color around the Home Service brands and our risk.
Jeremy Rakusin: Sure. So home improvement, Faiza, is around 25% of our Brands division and 13% of consolidated. So it's a $400 million total revenue exposure, about $300 million of that is Cal Closets, which is really the one that could be the most exposed. When we've looked back at our other home improvement brands like painting and floor coverings, they were very resilient even during the great financial crisis. So, California Closets and 300 million-ish of revenue exposure there, and then Scott also commented on Century Fire, half of it's recurring contractual revenue, but the other half tied to new development would be exposed. That's about 50% of a $300 million plus business tied more to commercial new development. So it really depends what type of downturn, home improvement, housing, Century, more commercial. So you may not see both get hit at the same time if there was any exposure due to those macro factors.
Operator: Thank you. And next we have Scott Fromson [technical difficulty] One moment.
Scott Fromson: ...organic growth. Do you have a sense of how much that 12% organic growth at FirstService Brands be attributable to a mix and how much to price, particular price increases and excessive inflation? Just trying to get a sense of the sensitivity to inflation.
Scott Patterson: Hey, Scott, was your question just relating to Brands? We...
Scott Fromson: Yes, just relating to - exactly. Just relating to Brands.
Scott Patterson: Okay. I'm going to - Jeremy has been digging into this, I'm going to pass it over to him.
Jeremy Rakusin: Yes, Scott, I mean, the first point to make is, any pricing that we're taking is not - we're not taking more price than what our costs are increasing. So we're not looking to expand our margins over and above the labor wage inflation or the raw material supply chain costs that we're incurring. But in our home improvement brands, order of magnitude 5% to 10% price increases to account for those cost increases. At restoration, there is a couple of different segments. Commercial restoration a little bit easier for us to pass through. We have these master service agreements with our major clients. We have priced tear sheets that we continue to see updating. So it's - so almost relatively direct pass through. Each project is of a different size. When we're doing these jobs, there are different shapes and sizes. So it's really hard to quantify pricing, but we're kind of - as we're booking new jobs now, we're pricing it in the current cost environment. On the residential restoration side, it's a little bit - takes a little more time. We're working with carriers and adjusters around their pricing mechanisms. And then finally at Century Fire, I think it's back to 5% to 10%, the best we can call it. You've got the install work where we're doing major jobs and pricing it. A lot of our inputs there are either labor and steel prices have increased. So we're passing along. On the repair service inspection side, it would be at the lower end of that 5% to 10% range, because it's really just more labor.
Scott Fromson: Thanks. And do you have a sense of how much of that organic growth is mix or that kind of flat?
Jeremy Rakusin: Mix in terms of...
Scott Fromson: In terms of higher growth parts of that business?
Jeremy Rakusin: I'd say all of the business. I mean, home improvement, Century Fire, all over 20% plus and at First Onsite more a headwind in fact grew modestly organically even in the face of $35 million of Texas freeze work last year.
Scott Fromson: Okay. And just a quick follow-up question on labor tightness. Is it limited to recruiting challenges or is turnover - has turnover become a factor?
Jeremy Rakusin: Turnover was a factor certainly through '21, but it is starting to return to historical level, so less of a factor, Scott.
Operator: Thank you. Our next question comes from Stephen Sheldon of William Blair. Your line is open.
Stephen Sheldon: Hi, Scott and Jeremy, congrats on the results here. Just a quick one for me and following up on a prior question, on the residential side, I think you've talked about growing there 3% to 5% organically and we're nicely above that again this quarter. So I guess how much of that was driven by - roughly driven by abnormal wage inflation which you've been closer to that range that you've talked about excluding some of the cost increases that - the labor cost increases that you've been able to pass through?
Jeremy Rakusin: The portion of that 7% was price, we think it is 2% to 3%. So it's up from our historical sort of 1% to 2%. And as we continue to work it through, we'll probably see that in fact a little bit more through the balance of the...
Stephen Sheldon: Okay, great. Thank you.
Operator: [Operator Instructions] The next question comes from Daryl Young of TD Securities. Your line is open.
Daryl Young: Just a question on Century Fire. It sounds like a lot of the growth is coming through on the new sprinkler installation side. Has that mix - historically, I think it was 50-50 inspection and monitoring versus new construction. Has that mix shifted significantly over the course of the pandemic?
Scott Patterson: No, it's in fact, Daryl, it's continued to trend towards the service side. I think it would have reversed in the last quarter a bit, but it's still sort of 45% install, 55% service, thereabouts.
Daryl Young: And looking forward on the M&A pipeline, specifically with respect to Century Fire, is the goal to continue to keep that mix relatively stable in the future? And then, I guess, second part, what kind of valuations are you seeing? I know it's been hypercompetitive in the fire space historically? So is there any change in there?
Scott Patterson: We're very comfortable with the 50-50 mix. And so we are certainly keeping that in mind as we look at tuck-unders, but knowing that if we buy an install business then we can supplement it with a service business. And we're doing that all the time with our branches as we fill them out. We have, I mean - the valuations, we have not seen change honestly in the last year or so. They are still very, very high.
Daryl Young: Okay, great. And then one last one, just on the residential side. You've already spoken quite a bit about recessionary environment there. And through the last - through the last global financial crisis, you obviously grew that business and I think you've effectively tripled it since then. Is there any change in the dynamic or are they skewed towards more ancillary services now than previously that would change the thinking on the ability to grow through another recessionary environment?
Scott Patterson: No. There has not been a lot of change in this business in terms of mix. The level of ancillary revenue that we drive off of communities and units, so I would see it being very similar.
Operator: Thank you. And I am seeing no further questions in the queue, I will return the conference to Scott Patterson for closing remarks.
Scott Patterson: Thank you, Chris, and thank you everyone for joining. We look forward to reporting on a strong Q2 in July.
Operator: Ladies and gentlemen, this concludes the first quarter investors' conference call. Thank you all for your participation and have a nice day.